Operator: Good morning, ladies and gentlemen, and welcome to the TUI AG Conference Call regarding the FY '22 Q2/H1 results. At this time, all participants have been placed on a listen-only mode. The floor will be opened for questions following the presentation. [Operator Instructions]  Let me now turn the floor over to your host, Mr. Friedrich Joussen, and Mr. Sebastian Ebel. Thank you.
Friedrich Joussen: So, thank you. I hope I can still do these presentations in person. So this is a long time since we met and it's great to be back. So I have also talked to some of you before and not only we are happy that we can do these roadshows again, but also we are happy that the business is back again. We have always assumed that would come back, but you're only ascertain when you really see it. Now, Q2 has been strong and we will be talking about Q2. But even more important is what now happens in summer. As you know, you can lose here in winter, but you cannot win it in winter, you can lose here in winter, we have not lost it in winter, but the summer bookings are in a way so important for us because all profitability is in the last quarter as you know. And therefore, we will particularly focus also in my part of the presentation looking forward. Now that said, let's focus anyway on Q2, first. We have been operating a 71% of capacity, 1.9 million customers travelled with us. Our load factor was 84%. 84% is of course very high. When you think about that, all our capacity was operating. Of course, you'll see, it is not where it was before the crisis. I mean, you would have seen something 90% plus before the crisis, but I will show you on the next slides, we had some bumps, particularly in the beginning of the quarter.  The Omicron was still present. We had restrictions everywhere. Because of Omicron hitting in December and late November, the bookings for particularly January was -- we’re not so strong. But over the quarter, I mean, we saw that actually fading away. Now no restrictions are there, so 84% is good, but it's on, its way. But it is good for the environment.  Now that said, we have the losses. So that's very important. And if you had asked me just a month ago, I would have said minus EUR400 million is maybe the right number, but you know the out -- the outturn of the quarter became stronger and stronger and stronger. And in some of my charts, I have now some April numbers into, to show you the trajectory and what we think about it. What we are proud about is actually the business which is now the most resilient and the crisis has been the most resilient. Hotels & Resorts third quarter in a positive results. Amazing demand when you look at, for example, the Caribbean, but also Cape Verde is very strong. So these other destinations -- Canaries also strong but you know remarkably strong as Cape Verde and Caribbean and the over index there with our offers have very good market shares. So that has helped.  Strong cash flow EUR1.2 billion operational cash flow. You will see the cash report of Sebastian. Of course, we paid back EUR700 million and we will pay back soon more. Of course, that is all negotiated -- needs to be negotiated. I mean, our liquidity position, more than EUR3.8 billion. Again here, enormous effects also because not only customers come back, but prices are 20% higher.  I mean, when you look at the summer quarter right now, 85% book position, we will see it in a minute, with 100% -- 120% prices multiplied by two, you know that already the revenue for the summer process is on pre-crisis levels and we are just catching up now. So it's -- I mean, it will be -- it's almost impossible to assume on the revenue front that had been marked as the strongest quarter in company history. So it's coming. We see the business being back that spread.  So summer '22, we will look in a couple of minutes, we will look into the separate countries to give you some detail here as well. But cumulated, catching up last six weeks, all weeks consistently above pre-crisis, so 115% last week. Everything above 100%, cumulated we are now 85%, half the summer customers, almost half to come. So that actually indicates how the summer could be. And particularly also in the UK, we are still -- we are already and still have always been above pre-crisis cumulative and that's also important because of half of our risk capacity when it comes to aircrafts is in the UK.  So in the UK, we are starting right now to really yield. So the systems come to grips, we actually don't -- we try not to over-manage demand. So we have in the growth 98% to 100% because we just increased prices. I mean, it's clear, we don't want to underprice and over and overshoot on demand when the summer has finished. In the UK, it's a little bit of a different tune. We increase prices and start to yield up because there will be scarcity everywhere, that's our view. And then we are one of the few, at least touristic operators right now in Airlines, who already say this year will be significantly underlying EBIT profit on accumulated basis after two years of misery. We will be profitable this year again.  Now I have a shot, which is not very meaningful but is nice and colorful. It actually says was more red bubbles on the left and more green bubbles on the right. And that means, you know less restrictions. But it was influenced with restrictions. You will see also Ukraine which is, of course, I mean, I cannot say how much. We have Ukrainian people working in our company. It is enormous stress and the invasion is awful. But at the same time, for the business it is not so much right now. We have a little bit less in Bulgaria, and we have a little bit less Russian guest and Ukrainian guest in Turkey, but the other markets are so strong that they make up for it. Now let's have a look at the booking numbers. Hotels & Resorts, you will see here on that slide that actually hotels have always been in terms of capacity over the last months, the dark blue are Jan, Feb, March. Gray, I put as an outlook more or less and to show the trend. And you see that Hotels have been already remarkably stable. We operated 90% capacity. And that's almost a full program, the profitability in the quarter actually was out of that.  Interesting -- more interesting I think is now Cruising that was in January, 59%, 70%, 81%. It will be -- it is not in April 90%. We have all ships in operation. I mean, now it's just a matter of occupancy and yield for some of the bookings are very strong. We had a little bit more difficulty with the ships than we had last year. You will see that also in the comparison when we look at the quarters because we had operated last year all ships and now we actually had to take out four ships also because of COVID. So, particularly Jan and February were -- was a little bit more difficult on the cost front, but now going forward, the bookings are strong as well, and April was already 90%. So then you'll see Musement. Musement is tours and activities business. It's our star -- growth star, if you like. It is already in April 105%. That means we are stronger operationally, and not only in bookings, but also in revenues despite the fact that actually we have only 80% of customers, right. So, and you see a detailed slide later. So this is very strong. Markets & Airlines are catching up and you'll see the 80% in April departed. We wanted to be close to 100% when it comes to volume for summer and that is in reach. Now let's have a look onto the bookings. And I think now the interesting picture comes or the interesting pictures come. Net weekly bookings, left side, the light blue bars cumulated, the dark blue bars are the weekly net bookings. And when we talked the last time online, end of Jan and beginning of February, we were at 72% cumulated. So minus 28% pre-crisis. And now you will see the blue bars are all above 72%. So by nature, they go up on average. And the last six weeks, or the last six bars past here are above 100%, that means above 100% is above pre-crisis. Last week 115%, right. And you can imagine that maybe even, the 115% will be 117% and so on. Just look at the trend, you can make your own mind. Accumulated, we are now at 85%. So this is, I think, very strong.  And when you look at the right side, you see these 85% are with 20% higher prices. And therefore, if you multiply it, 85% or 20%, it's above 100%. So the booked in revenue for summer is already today better than pre-crisis. You also see the Ukraine. This is a little dip in the middle here, yeah. So we would have expected that this dip wouldn't have happened, if we didn't have the Ukraine. So then you would have a steady increase in the booking numbers here. Now one thing is important and that's clear. Revenue is not equal to margin.  So the question is, what will happen to margin in light of the inflation, of course, particularly fuel. Now the 20% higher prices can vary by cover. It's more than the coverage of the fuel at today's level, right. So therefore, I mean, whatever it will develop to, but today the 20% are covering the inflation risk. 5 million customers have booked, since we met last time. Just to give you an idea, I think another 7 million customers to come for summer. Yeah. So therefore you'll see, if you have 7 something million customers in booking base 84% -- 85%. Just if it's safe 115%, another 7 million automatically would take it to 100%, right. So if then the prices stayed at 20 or 15 or whatever, anyway, okay, we dream a little bit.  So now, country levels, UK, how do you read this busy slide. The UK is 41% of the booked position, that's the blue line under the UK. So it is actually the biggest market. With that, 41% of our global booked position is in the UK. Cumulative, they are above pre-crisis 11% in excess. So net bookings April was 98%. So it will dilute the 11% -- 111% will dilute down as we speak a little bit. But this is on purpose because that's what I said, because we increased prices, right. So we don't want to be at 111% or 115% at end of season because it would be too much for our capacity. Our operational sweet spot is something, let's say 105% or so. They're actually -- we maximize the price to get to this 105%, right. So that's is a little bit different than in the other markets. Germany is now 28% of the booked position. That's top right. So it's the second biggest market. I have not included the cumulated number, but it is between 70% -- I think it's around 75%. So it needs some catch-up, but the net booking position for the net adds is now 135%. So these are big numbers, yeah. So therefore it's increasing fast. Netherlands is 127%, 9% of booked position, 127% in excess. And it's cumulated 14% negative. So here you will see that, I mean you can feel that, that prices will go up. I mean the prices are already very good in the Netherlands. This is also to the scarcity in Schiphol Airport and so on. So the gateways are narrow. So you can feel that the prices go up, because we don't want to be at 127% and the passengers to go. So there is an enormous potential to create profitability. So as I said in the last years, we always had overcapacity and we could not fill the capacity, the aircrafts were on the ground. And now we are -- our systems that’s how it that ours works if you remember, first, the volume, then the price, right. So that's hard work. So demand, demand, demand, your system -- the systems go tuk-tuk, tuk-tuk, tuk-tuk and actually increase prices until the demand is to create to cover the risk capacity. So in the Netherlands, we are at a good point. Belgium is mixed a little bit. The package business is very strong. It's more like the Netherlands. We are flight only business, which is more short-term. That's the reason why you have the 98% here, but it is in principle, same model.  And then you have the Nordics. The Nordics is only 3% of booked position. You see it's small, but you see the Nordics is a little bit the problem child. It's a migration of different markets. Denmark is pretty much like Germany. Sweden and Norway are lagging behind. Okay. We need to work a little bit. And now in -- as you see here, April, I think when we ended April, we were more at 80% something. We started April, a lower number. So, also there you see a catch-up, but this is a little bit late. Yeah. Fortunately, it's the smallest market which is a little bit late.  So this gives you a little bit of flavor. I thought you were interested in that. Now one thing which slide, I like it's not direct, it's not a financial slide. So, hopefully, it doesn't bore you. But you will see the web visits on UK and Germany, right. And the percentage of the market shares on the web visit. In the UK, that's how you read it. We have 45% as web visits. The second competitor has actually 28%. You might guess who that is, right. Now in the UK, we are already 70% online. Okay, fine, ticking the box, it actually grows online. It grows a little bit faster which we have taken about, we talked about that.  The interesting thing is now Germany, because in Germany, we are 59% of web visits, right. So our market share average is 30%. So we are over-indexing on web visit almost a factor or two. And now in Germany, we have much more retail. But the growth of online is enormous, right. So the growth of online is much better. So we talked about the digitalization and the effects, one of the digitalization effects that we -- that I think we will be doing pretty good. It's been actually more and more traffic comes online.  We are the only people with a meaningful web visit in web page in Germany. The second and third and fourth are more going independent travel partners, so CHECK24 and the like. So these are independent partners. With us is almost all tui.com, right, and our app, and also the hotel brand. So online, this is all our website and app that means mobile. Mobile is increasing. That's also important because their distribution cost as you know, its good parts of our center. So this is good. It's a view into the future. So then, a couple of remarks on the current trading environment. As I said, hotels are very strong, particularly Greece is enormous now, when it comes to summer, there will be scarcity everywhere. We expect strong yields and catch-up. Nothing will be empty, I would say. I mean, Spain is lagging a little bit behind, but you see also now catching up because Greece is hopeful. Cruises, we have now all ships in operation. And the bookings are building steadily. The rates are high and very healthy. So I think folks particularly for Q4, it will be a very good business. And Musement, I have a separate slide and maybe I explain that in a separate slide.  Now, when it comes to vertical integration, is that still something which is important. I mean, in the crisis, we have been directing traffic to our own hotels. Now also in summer, we are building the business, our own hotels first. So therefore, vertical integration is important. I want to say that in some of the destinations, we already started to do shared hotels first, because scarcity means you can go out of stock at a certain point in time. And therefore, we start to reserve, particularly when you look at Greece, we keep some of the exclusive capacity in order to be able to sell at higher prices in summer. So it is really the business is -- it's good that the business is normal. So it is good that the business is normal. I have actually included this slide to talk about occupancy average room rate, but also RevPAR so as per available room, revenue per available room, and you see the three columns, '19, '20, '22 or '21 Q4 -- '22 not Q4, '21 Q4. And here you can see in the crisis that actually we are getting out of the crisis. Q4 '21 was the first profitable quarter in our hotels and you'll see why. And because the light shade is actually competitor benchmark in the respective destinations. And so the room rates, the occupancy as well as RevPAR is over indexing. And you see also the -- all of the crisis, how it started to work with Q4 '21. So this is already a bit of history. Now that's what actually encouraged us to actually say asset light. We have actually launched a Blue Horizon, the plan to build to operate 300 Blue hotels. We are now at 100 Blue hotels, and the interest is very high. Investment vehicles saw the hotel funds. First one launched, very high interest, good interest. The spread -- the global spread of the hotel program, we want to become the highest growth, the biggest leisure hotel operator in the world. And that is the plan. And the reason for that is actually this, right. When you are part of it, then you are better off, then actually if you are independent that's the idea because channeling demand and so on. Okay. Now, this one is not the future, this one is reality. Total EATs, so excursions, activities, tours sold, yeah, before the crisis and now, and you will see H1 comparatives. H1, we did growth of 25% and large part of it is the 30% of the excursions sold are third-party right now. And that's the fastest growing, it is the bookings and the like, right. So we are everywhere in the booking side, so when you book a hotel, book an activity, you book us, right.  White label sometimes original. But also the 70% of the 1.7 is today higher than the 95% of the 1.2 million before the crisis. And that is because of the digital distribution channel. And this is despite the fact that in the first half year only 70% or even less than 70% of customers traveled, right. So we have more excursions sold on an absolute basis, despite the fact that actually only 70% of customers travel. And that shows the dynamic and that is the reason why we believe that this business will be the fastest growing business in our company.  Good. That said, I would like to leave it for a moment I come back with a summary slide, but the serious stuff which is actually the numbers Sebastian will tell to you.
Sebastian Ebel: Thank you, Fritz and a warm welcome also from my side. I'm really happy to be here. It's the second time after -- to London after the pandemic started. We were here in November and now here. And it's good to be back more in a normal rhythm. We are very glad about the results. Revenue increased to EUR2.1 billion in the first -- in the second quarter '22. I think the comparison to quarter two '21 is not so meaningful. I always look -- like to look against '19. And we were in the second quarter around 70% of '19 revenues and that I think gives a good indication how to interpret our result. Underlying EBITDA, minus EUR123 million. Depreciation/amortization EUR200 million, slightly going down which is the result of the very rigid investment policy which we want to keep and will keep for the future as Fritz said. If we do invest, we do it through vehicles like the hotel fund, which leads us to a underlying EBIT of minus EUR330 million, which is almost half of what we had seen last year's comparable quarter. And it's just EUR100 million worse than the Q2 of 2019.  Adjustment small part, half is the purchase price allocation, half is SDI, The realignment program goes very well. We will achieve 80% of the benefits this year and it shows that this cost reduction really supports the bottom line, the P&L. EBIT, EUR343 minus. Net interest expenses around EUR123 million. We had given a guidance of interest minus EUR380 minus and EUR420 million.  We will be -- we are in line with what we had predicted. So this fits very well into what we think will be the outcome of this year, which brings us to minus EUR467 million EBIT. There is an income tax benefit of EUR145 million that takes into account the improved economical situation of TUI which brings a group result to minus EUR321 million, which is less than half of what we had the quarter before. And this is an EPS of minus EUR0.21.  If we look into the different segments, as Fritz said, the Hotels & Resorts area in the third quarter -- in second quarter are profitable, with an occupancy rate of 65%. I think that shows quite nicely what we can achieve if the occupancy, which normally would be around 88% up to 90% in winter. And we were able to achieve a positive result with the 65% occupancy, which will grow now very steadily in the coming months through the excellent booking development and steering into our own asset. Cruise, as Fritz said, has been more difficult. You probably remember that there was fourth wave, which for the first time led to the situation that we had to cancel cruises in January till the middle of February. And that had two impacts; one, people couldn't travel; and second, bookings were slow. And luckily, this is now over. All the ships are in operation, and we have seen since I would say three to four weeks, a very strong booking because people have again trust in the product.  And what is also quite interesting, prices are very stable and they are stable, they can be stable because the cost situation is stable, because what we don't see, that's a little bit different to market the airlines strong cost stability. That's why we think that we will catch up and be on normal levels in the fourth quarter. But it has been a tough quarter. Therefore, the losses had increased by EUR20 million to EUR74 million. TUI Musement, doing well, almost back to '19 levels, again in winter slightly negative, in summer significantly positive on a good way there. And what is also good is that we can get more out of TUI customers. We have seen that even in this quarter, because now the usage of the app is very, very high, 80% of all, 90% of all customers come through this, they get directional sales. We get directional sales opportunities which people take. And what is also good that the third-party business which means new customers for TUI to whom we can later on also sell other products is doing extremely well with very strong growth. Markets & Airlines, still a difficult quarter, but strong improvements in all three major markets. The UK where we have the biggest fleet, the build-up of the fleet was effective and we reduced the losses from EUR221 million to EUR181 million. Germany significantly better from EUR123 million to minus EUR21 million. This includes a EUR50 million cost compensation by the state program of German state and Western Region. But also if I would add this, which was quite interesting Central Region, we would have been better than the '19 results in Q2.  And Western Region also improving. And as said, as Fritz showed, month by month, there were significantly improvements. So as January had been difficult, February became better, and March had become a really better although Easter was not in March, but in April. And this altogether led from minus EUR633 million loss to EUR330 million. And as said the biggest contributors were Hotels & Resorts, Markets & Airlines with a small downside in Cruises.  Cash flow, we had very strong working capital intake. And this actually has two reasons. One is pre-payments of customers. So getting more and more customers helped the balance, but also the other working capital measures we have taken to optimize cash-out and cash-in worked very well. And I think that's something we are really proud off. And we still see some opportunities there. On the working capital, we are on this -- on the -- sorry, on the customer prepayments, we are on the same level as '19, although, we only had 70% of the business. So we are looking forward for the future months. This let us with other impact like interest EUR78 million outflow, pension contribution EUR39 million outflow to operating cash flow of EUR1.325 billion. Net investments, minus EUR83 million. As said, we are very cautious in taking investments. We are of course taking all -- we are doing all what is necessary for safety, health and safety.  We invest into IT, which is really necessary to transform further our business. And RIU is also taking the opportunities when there are good opportunities. They are not part of our cash pool. So that's why these investments will be in this number, but it will not impact TUI cash, which leads us to a free cash flow of EUR1.242 billion which we used to reduce our financial debt and to slightly reduce the finance lease liability. So I think a very good picture also if you compare it with '19. At the moment, we have EUR3.8 billion. This last number was EUR3.3 billion. We were able -- as showed the cash inflow of EUR1.2 billion, we handed back credit lines to the German government of a EUR0.7 billion, which brings us to EUR3.8 billion facilities, cash and facilities. And the EUR700 million, we paid back the EUR170 million, the secured RCF, the EUR91 million, the bond portion of the $158 million WSF bond. And the remaining EUR414 million KfW unsecured RCF, what is also now quite promising.  We reduced almost on a weekly basis, the remaining part of the debt we have with the private banks. So I would estimate that within the next couple of very few weeks, we will also be in a position where we haven't drawn anything from the private bank revolver. Of course, after summer October, probably later in November, because I think we will come very well through the summer, we will need some of this facility again, but in a small order of magnitude. If you look at our balance sheet, we were able to reduce the net debt by EUR1.1 billion to EUR3.9 billion. In the half year, we had the capital increase and we had the working capital inflow, which led to this strong free cash flow. If you look at the situation today, of course, the two silent participations of the German state are fully drawn the EUR420 million silent participation one that can be converted into equity by the German state.  The second, EUR671 million, we have to pay back, we want to pay back as early as sensible and both are accounted as equity. The KfW RCF now is not utilized anymore at all and the cash RCF was -- 31st of March was used with EUR900 million. At the moment, this is reduced now to EUR700 million and the remaining part will be reduced within a very short time frame.  Lease liabilities reduced by EUR100 million. Although, these are only lease liabilities, it's very clear that we want to optimize this as well. And we did that by EUR100 million in the last quarter, despite that we are renewing our fleet, which helps us to reduce fuel consumption. Hotel leases are in the same order of magnitude, slight reduction and ships also very small reduction to it. What are the main tasks? Of course, to drive operating effectiveness to further improve the profitability. I think this is very clear. And to look and to oversee the cost reducing, Realignment Program, as said, it works very well. We have put all measures into action. And this will give us 80% benefit this year and the remaining part beginning of next fiscal year. The digitalization is very important. Fritz mentioned, the app. The more we can book through the app and that's a very clear trend, the more we reduce distribution cost because it comes along with lower distribution cost, maybe 2% or 3% IT and customer service across compared to 15%, 16% if you sell it through other means. Generate cash flow, I think that is something we have done well, but there is more to come. It's a continuous work, and it's a very good alignment between the operating units and the finance department otherwise it would not have worked. Disciplined CapEx management, that is very clear. And if we want to invest like the TUI Blue concept, the investments are done through the hotel fund or within RIU to make sure that we further reduce our debt because that's the first prerequisite for a healthy balance sheet. We are constantly looking at opportunities. You know that we got authorizations at the last February AGM and there we look opportunistic, what could be sensible and what we would do.  At the end, if we reduce the credit rating that would have another strong impact on a lot of things. Also on collaterals which we have managed quite well, but with the overall benefit improvement of TUI, this would be also a significant step forward. So we are really in a good flow, very optimistic when it comes to summer, but a lot of things to do to support this good development. We are cautious in what we do.
Friedrich Joussen: Thanks, Sebastian. I think you said it very well. I mean, sometimes when -- the other times when the things go bad and then everything goes bad, you have no prepayments, you have high collaterals, you have a bad credit rating and it goes like this. And you see now the spiral actually different. I don't know any week, where we don't over-achieve what we expect, and we have now through the higher prices. And I mean working capital which we, as Sebastian said, I mean, we have 70% of customers on already the working capital, if we had 100% of business there. So it is interesting to see the spiral now the other way. Let's keep it -- let's keep the ball rolling.  What have we done? Nobody wanted to have the crisis. But as a management team, we said, let's say, if the company that's what we did the first phase, and then we said what kind of transformation can we do in order to take advantage of the crisis once it's over. And we actually based that on the four pillars, you know. So I don't want to repeat it too much, but it's a mix of cost and growth. Growth, for example, towards activities, but also digitalization being more relevant to more people to sell more stuff to more people, and so on and so on. Be better and yield one to one marketing, mass individualization and so on that I talked about. Also the capital growth we started investment that's what actually the third box is right, so that we want to do 300 hotels. Of course, we cannot invest 300 hotels, so in respect to Blue, but also just cost saving, I mean realignment. Cost savings without negative effects on quality and growth.  So that was again, you could say the realignment is not only a restructuring as realignment, because it's going in line with digitalization, right. The process is more automated and so on and so on. So we have done these things and actually they have result -- they produce results today, but the dark blue box on the right, that was what I said last time. I said deleverage 3 times that's our target, and not too far in the too-distant future.  And you'll see our net debt coming down right now. So the first effects are there. There is still work to do. That's clear. But, I think it's in reach and then also sustainable the profitability will be in our company, higher than it was pre-crisis because the four actions taken will produce these results and we see that. I mean, when I just look at Germany, Germany was always a market with limited profitability below 1% and we see all the restructuring digitalization, the effects it takes already now, of course, I think it is clear.  But on top, we have now said, based on the summer bookings and how the summer bookings came in and the 5 million additional bookings between end of Jan and now, we can definitely say that we will be already profitable this year, significantly EBIT profit this year when you take the full year. And that is also something, I would say. It needs a strong summer, but we will see -- we will see a strong summer. Yeah, so that's something we will -- more or less, we left the crisis behind and obviously the bookings and despite we're hopefully going to respect. Okay. That's it from our side for the time being. And now, I think we do the questions in the room first, and then I think also write, we will have questions from the web. But the room is first. Okay. Jamie, you have the tradition of three questions and being first. Why don't we take you first?
Q - Jamie Rollo: [Technical Difficulty] mic.
Friedrich Joussen: Yes, of course, we have mic.
Jamie Rollo: Thanks. Jamie Rollo from Morgan Stanley. Three questions, please. First, in terms of the sort of guidance for significant profits, you talked about record revenues in your fourth quarter which sort of makes sense mathematically. Are you also expecting record profits over the summer and should we factor in any of the additional German support and the hedging effectiveness, I think together EUR90 million in the second quarter?  Second question, are you seeing any signs of any consumer slowdown? I've seen some comments in the UK from some agents talking about deferrals of final payments and obviously, your UK booking numbers weakened albeit that's partly mathematical? And then, finally, you're still talking about using the capital authorization received at the AGM, which I think is essentially additional shares. Could you talk a bit about that? And also any update on the potential for the German state to convert? Thanks.
Friedrich Joussen: So we don't do guidance. I mean, we said do we -- should we do guidance. I mean, which -- what we did right now is more or less write down what mathematically will be easy to get yourself. I mean, when you have 85%, when the customers to come are now 100%, when crisis are today 120, I mean, it's mathematically easy to just do a calculation and say a spreadsheet of what would it be. On the profits, we don't do now guidance on a per quarter basis. But one thing is clear, the prices in summer are very strong. I mean the prices in Q3, are not so strong in our industry because it's not peak season. But the prices in summer are very strong. And we also said, they will cover -- they are more than necessary to cover the fuel cost inflation.  And the scarcity will actually provide -- I think the scarcity will provide a basis of an environment that we don't need a strong yield down and prices related to business, because I mean with -- I mean, the prices come because people mainly go a day longer on average instead of 8.5 days, 9.5 days. That means 85% of customers burn 95% of beds. And that actually says something about, in reality 85% is not 85%, 85% is already 95% when it comes to capacity. And that's an environment that I would expect that the prices are strong. Now on top of that, we have the fuel price volatility, but I also -- I mean, we have the discussion in the Executive Committee. I mean could the fuel price be $130. But in reality, what we see -- what we saw in our last days from $110 to $100, yeah, it could be also $90. And we are covering now $105 to $110 per barrel. So let's see where we end up. Now on customer demand, we have the only significant point I can -- I mean long, long-term or mid-term or longer term when it comes to next year, and the customers have paid the first electricity or energy bill in the winter, we will be -- there will be a correlation to the general inflation and the perception in the market and so on.  At the same time, we have very low unemployment today everywhere. I mean, we have scarcity of people working. And so I mean we have a good elasticity in the -- in our societies and I think also, at least from the only market where we have opened the winter business right now and where we have a decent booking is UK and it's very strong. So the winter business, the bookings are very good.  And maybe there was a discussion, maybe that is also, at least from the volume perspective, the Thomas Cook is now coming in. I mean the Thomas Cook effect, which we had not seen in the pre-crisis numbers because then Thomas Cook was still around in '19 and somewhere the 20%, 25% market share needs to go, right. So the volume is good based on the risk capacity. The prices are good. So at least from today's perspective, I don't see a lack of demand or something falling off the cliff. Sebastian?
Sebastian Ebel: I can comment, Jamie, on the government support. There are still some small programs available related to the Ukrainian situation. But if that will come into play -- place, it will be a small one-digit million number. So we don't expect something really big. The more difficult question is the -- or to find an answer. The question is easy, but to find an answer is the hedging ineffectiveness because it's so much depends on the actual fuel rate. The only good thing in this -- I mean, I've learned so much about IFRS 17 which is commercially not fully understandable, but it is as it is, is if you have a high fuel price, you tend to have a positive impact here and a negative impact on the business or the other way round. And that's why the impact is a little bit balanced out. But that's only -- we have modeled different scenarios, but it's very difficult. On the capital outstanding authorizations, as we say, we look at opportunities. If opportunities would come up, we will consider it's a little volatile market environment at the moment. So, like I said, if there are opportunities, we will look at it and conversion of the silent participation, one, it is completely the decision of the German state. We have no information if and when this could happen. So [Multiple Speakers] unfortunately we cannot say more.
Friedrich Joussen: But it will happen. [Multiple Speakers] I think the benefits are so high, I mean, to the state they have now monetized EUR280 million of interest and charges. And if they converted, I mean, 420 times one, and then compare whatever fair share prices right now, I mean, they need to convert. We have indications that they didn't want to stay a long-term shareholder. I mean, that's also very clear that was a question of timing, I mean we will see, nothing in our hands. Please.
Pranavi Agarwal: Hi. Pranavi Agarwal from Bernstein. Thanks for taking my question. So three as well, please. So the first one, summer 2020 bookings now 15% below 2019. I know the last six weeks has been a lot stronger, but that still lags peers. We've posted some really strong numbers. Booking.com said April was 30% above 2019. On the Beach said that their sales in February were 50% above 2019. So why do you think that TUI is lagging here and what do they need to do to really accelerate into the summer to be able to kind of match that euphoria that peers are also reporting?  Then on my second question on Musement, you said this is the fastest growing business, kind of what are your long-term thoughts on profitability for Musement? And then also TripAdvisor have said that they are thinking of doing a sub-IPO of Viator. Is this something that you've considered or something that we can expect an announcement on at some point? And then on my third question, there was a big working capital inflow in Q2. How much of that can we kind of expect to be brought forward into Q3 and kind of how to think about free cash flow for the rest of the year? Thank you.
Friedrich Joussen: Okay. Thank you. I'll leave the last one definitely for Sebastian, because that's heavy lifting. So -- but the first ones are clear. Now we have a yield business, right. We don't have a trading business. That's important to be understood, okay. So yield businesses don't want to have 120%, 130% and so on. Yield business you in there for risk capacity and then you yield out the risk. If you have a trading business, you sell everything you have and then you say more hotels, right. If you have a yield business and you have a risk capacity and you start to over-achieve targets, you start to increase prices.  I mean, if you have one hotel or one airline and so on and so on, you don't say, I want to sell more. You will start to increase the prices. It's a very different business. So, therefore, it's good if independent trade-offs have higher numbers because that shows demand is there. But then we start on our own business, our whole hotels to increase profitability. I hope that makes sense, right. Yield businesses are not trading businesses despite the fact that is a city and whatnot. The second point I want to make, we are very happy with our tours activities business. And it's not lagging investment. We have an upstream consolidation -- we have an upstream consolidation strategy. We don't try for enormous growth in the independent market. I think it needs to be proven in the independent market that you -- once you have reached, you will get it into the recurring rates, right, because it is -- none of these businesses are particularly profitable. We are profitable, because we have a native reach, because we have 21 million customers who all come to our platform and -- but in the downstream business, so from platform to customers, it remains to be seen. And our strategy is one million things to do, the consolidator of activities around.  And then it also remains to be seen how much of TUI in the future will be actually activities led. And maybe, I mean, it would be one strategy to make it independent. It could be one strategy to transform the company into activities-led business. So in five years, maybe tours is even more important part. Particularly as in the marketing, you will see that more and more customers buy activities first and then complement it with whatever they buy on top.  Activities is the new luxury, all they say, right. This is more important than what you do and what you own. So it might be that the new TUI at a certain point in time is even more activities-led business. So, therefore, I'm far off to consider IPO-ing that business. I mean we will call that business now fast. And you have seen that and it's not lack of funding. We don't need other investors.  Viator is not profitable. I mean, and TripAdvisor, I think in IPO-ing it, is now to try to separate the business and make it somehow to unleash conglomerate discount. And so, I mean I have not talked to the guys, but when I look from the outside, I understand what they do. But that is not our strategy, right. Sebastian, you wanted to say something.
Sebastian Ebel: Yeah. Two things. One on the Musement thing. Customer acquisition costs are high. And the good thing is that we can supply our own products to it and we can sell other products. So what you normally see, you have to invest in any new customers and then you lose the customer, you have to investment, it's a little bit very different to us. And that's why the profitability of Musement is doing so well, despite we are putting a lot of money into growth. On the growth numbers, the 115 is a blended number. This is important to see. If we would only look at the package growth, we would be not -- we would have a by far better one.  What we did, we reduced significantly the seat only part of our business to optimize the profitability. And as we look very stringent to market shares every week, we can see that we are doing very well on these core products where we see strong profitability. On the free cash flow, we don't give any guidance. We just can say that this is the main focus of the finance team. We look at this every day to optimize it and not by delaying something which comes back the day after tomorrow, but by structural changes and if we do well we will see some further benefits.
Friedrich Joussen: Yeah.
James Rowland-Clarke: Hi, good morning. James Rowland-Clarke from Barclays. I was interested in your comment earlier about ASPs and capacity just banging the ASP figure times by capacity in your revenue potentially. You said before that there is a mix in our ASPs between package UK and underlying. Could you outline the underlying pricing growth there, please? And whether that's -- whether you're able to cover inflation with that pricing growth?  Secondly, just on bookings, you're running in about 10% ahead in the last six weeks. When would you expect to catch up with the typical bookings curve so you're in line with '19 levels? Would you expect by early August that you'd be caught up? And then finally on the cash inflow EUR400 million in the last five weeks. Is there any EBIT positive in that number? Is that working capital? Thank you.
Friedrich Joussen: So on the average sales price, all of that is today are -- but most of it, by far the most of it is actually the longer stays. So it's not related to price of cost, yeah. And also the mix, more five-star than four-star, more long-haul than short-haul. So, you have these. Now that said, this has anyway a good margin impact, because the incremental cost on these incremental revenues are of course much lower than the relative -- than the total cost position, right. So, and it has the benefit that today, you don't see the price effects. But in future, you will see the price effects because again in the yield system, when you are running ahead, you burn more beds than you have. So when the system is more full, and then of course, the yield systems, they don't decrease prices, right. So the yield system actually keeps prices at the higher level. So I would expect that in the lates business, so the closer we get to actually now the point of departure, the less we need to reduce prices, right. So the less we will have scarce supply and therefore the price quality for -- I would expect, for the full summer season, will be very high or very good. That said, for future season, it might be different. I mean, we had -- Sebastian might want to talk in a minute on maybe also the contracting with the hotels and so on, because right now we have fixed contracts and we don't see the presentation, but who knows, in the future, that's one of the -- one of the things we spend our time on. Now one thing I want to, on the booking curve itself. The bookings in the last six weeks have been above 100%. They need to be above our cumulated status in order to move the cumulated status up right. Even if it was 90%, it will -- would move up. Now, we are now in the privileged situation that we have 115%. In 115%, when 50% of the customers still to come and you have 85% in base and 115% in net adds. At the end of the season, you will be at 100%, right. Now, the 115% have not been -- 115%, the last weeks have been 110%, and they're coming from 90% and so on. There is no signs around it, but it's imaginable in the short-term booking environment we are in right now that the closer we come, the 115% will be 120% or will be 125%. When we closed the winter, we had sometimes weeks with 200%.  Now, the volumes are smaller, then the volumes are still now net bookings 300,000 per week or even higher. But of course, the relative booking advances in the short-term booking environment will increase. The closer you get to the main booking months, and the main booking months in our system is July and August. There you have the highest prices, the highest yields and here we are also very, very well booked. Yeah, so already today and therefore, I think, the closer we come the more you will see maybe 120% or so.  And then automatically the cumulated position will build. I hope that explains it. And -- but on that, yes, we are -- since six weeks, bookings coming in, we are above '19 levels, right. So the activities, when you look into the store, when you look into our website, we have higher traffic than we had pre-crisis. We have more conversion, we have more bookings since six weeks. Sebastian, maybe you want to take.
Sebastian Ebel: Because you were asking profitability, the cash outflow, I think if you look at the '19 numbers, just to help you to little bit to do the calculation. We had EUR200 million in the third quarter plus and EUR1.2 billion in the fourth quarter. The EUR200 million would mean that there is more profits in the June month than in April. So the profitable part of the cash flow will come now and then start in the next weeks and then really go up in the end of -- middle of June.
Friedrich Joussen: And actually all profits.
Sebastian Ebel: But that is normal Q4. The cost inflation, that is a very important subject. We look at it every week because there is normally a correlation between cost or currency changes and booking pattern. I mean fuel, you can calculate what today's prices mean compared to when the barrel price was $65 or $70 that may add up to 1 percent points or 2 percent points higher prices for the package. Similarly, we have seen for the hotel. So the hotels really had been very cautious in increasing the prices. It hasn't impacted this year, but we normally go for three-year contract.  But the interesting thing is that, when I now look at London hotel prices, I mean, doubled. We were in Miami last week, they tripled. It's unbelievable. Hopefully, it will go into profitability of the hoteliers. The good thing is we have 30% of our own capacity, our own hotels. There we would directly benefit from higher prices. And with the other remaining ones, we try to have such a relationship that we can make sure that they get the maximum occupancy rate, so that their profitability comes through having 90% with TUI and only 80% or 75%, if they do it on their own. And the last point is, of course, the realignment program has been very successful. And to be even more cost conscious, especially on the distribution side is something we have to do because there is still a lot to get to offset this.
Friedrich Joussen: Sorry. Everybody will be able to ask.
Alex Brignall: Thanks very much. It's Alex Brignall from Redburn. The first one on your summer capacity, I think there's a bit of confusion between volume and price. I think bookings, plus 10 and volume don't worry about lobbying behind, I think, On the Beach whole services was a sales number, not a volume number. So I think it's broadly in line, but just in terms of your summer capacity, I think it's going to be about EUR14 million. Is that right? Again, EUR16 million in 2019. So that would imply that full for what you're currently planning, would probably be 88% give or take. So should we expect cumulative to get to 88% in order to hit what you currently have scheduled? Or will you just add capacity to get to 100 as you do, so that's the first rather long question, sorry for that? The second on the asset-light hotels, it's obviously quite a big statement to say that you expect to be the biggest asset-light leisure hotel business. So could you just talk about the timeframe on that? Obviously, you alluded to conversions and independent. So obviously quicker to convert. And maybe the economics of what kind of fees you could get on a single hotel, I don't know if you can help at all on that would be fantastic? And then, I think, you slightly talked about of efforts on hotel purchasing economics. Obviously, what we've seen this time versus 2019, as we don't have Thomas Cook and they were probably the most aggressive buyer of inventory back then. How is it working with your partner hotels in terms of the pricing that you're getting and the prices that you're able to buy your inventory at and therefore the margin you then make on that? Thank you very much.
Friedrich Joussen: Okay. Maybe I'll start. I mean, particularly, I think, on the economics of our hotel fund, these are something, Sebastian, I would like to give to you and not to make mistakes. So -- and the economics are very good. I mean, be on different sources of revenues, we are scouting the hotels, we are contracting the hotels we are committing, we are distributing, so we deliver the brand and so on and so on and it's different in revenue flows. And it's quite a profitability for non-investment activities, right. So in summer, summer is already starting now. That's the reason why Q3 will be not 100%, right. So -- but in Q4, we will be 100%. And we might be even more than 100%. I mean that's -- when it comes to volume, why because, Thomas Cook is another one we are talking about the summer capacity 100%, we always talk Market & Airlines, and therefore, that it might be above 100%. That's what Sebastian always said. We might be conservative and I think we are seeing we potentially are conservative, when it comes to Q4.  And you are right, we are talking when -- that's a very good point, volume versus value. So when we have 100%, we are already -- the 115%, then you need to multiply that 120%, because packs price equals the 130%, whatever, I mean, if that's the confusion. Who cares. At the end of the day, it's all good. Now with the capacity -- when do we add capacity, we usually have -- we are now in the process of firming up our capacity. So particularly when it comes to airlines, we are now, particularly on the UK. We think we will be more than 100% and therefore we are firming up capacity. But that said, on the risk award anyway, we are a little bit more careful that potentially would be because profitability is for Q4, the name of the game. I mean, even if we lost a couple of market share percentage points, we want to be profitable. And this comes back to something with the hotels.  As Sebastian said, the hotel prices will go up. Now we have contracts, yes, that will go up. I mean -- but at the same time, my experience, since I'm now more focusing on the hotel business, TUI Blue and so on and so on, one of the bigger levers in the hotel business is actually pricing. And there is a bias in the hotel business and maybe in all risk businesses that you for quite a while shy away from the risk to increase prices, because you want to create occupancy first, right. So the businesses have now left with empty hotels for such a long time that this bias has actually if enrolled is actually bigger, right. So hoteliers, when we talk to, hoteliers are incredibly happy that their hotels are full and we are bringing guests. Yeah. So I don't know too many who actually say right now to us, we have to increase prices quite to the contrary, many of them are extremely happy that we bring a lot of customers. And therefore there is these kind of bias. This will not -- part of the bias will disappear, but part of the bias will be there.  And when I talk -- when we talk about leisure hotel and when we talk about the Blue to come to the question you have, bigger part of the benefits we bring and the benefits we have is that we have IT systems and structures in place which actually allow hoteliers, independent hoteliers to monetize their inventories better. And now the Marriott's and Hilton's and what not, I mean they have these systems and they don't need our know how, but the leisure hotel businesses usually are family businesses or small chains, who don't have -- they do prices walking up and down the strip and see how other hotels have priced. And then they, sometimes they just have summer season and they have winter season prices, which is of course not very professional. And we see right now with our own TUI Blue hotels that the profitability, we can generate by optimizing the yield equations by optimizing the pricing is actually very good. And therefore, we have said, our ambition is 300. We think this is a foreseeable future, let's say, three to five years, it really depends on how fast it will be. It took us about two years, two and half years to do the first 100.  I mean with that TUI Blue is now on in terms of awareness, brand awareness on the level like RIU, for example. It's not -- so it is not -- it is not nothing. And therefore, we believe it's really good. And as we have now also the investment vehicles, we can actually grow without own investment or with investing in different vehicles during the different part of equity if you like, which is real estate. We believe it's a good strategy. Sebastian, do you want to take on...
Sebastian Ebel: Yes. Yes, I was just looking for an English word. I mean I have been through all the phases in the last 25 years, the relationship between the two operator and the hoteliers. There had been good times and there had been bad times. Bad times when Thomas Cook collapse. The question is the two operators still the good model and so on. Is the payment terms, are they acceptable and so on. There was a lot of question we faced. And I mean one of the very few benefits of the crisis was that we could prove that we are a very reliable partner, but bring guests into our hotels.  So that the hoteliers could open. And that's why and I had been with David Burling, our Markets & Airlines CEO, two, three major events, especially Turkey and Spain. The relationship has never been better. I also know like the Greek hoteliers now having a boom, they will try quite significantly increase the prices. Therefore, it's important to have a strong footprint. And to make sure that there is full transparency because there is a very strong competition between the destinations. When I was in Turkey six weeks ago, they were really desperate because they just lost 50% of their business, the Russian and the Ukrainian part. And we said, yes, out of the 50 percent points we could probably bring incremental 25 percent points, if the prices are good. And then you have the devaluation of the lira which came from 12% to -- if you look forward to 1% to 19%. So this is a decrease, of course which is higher than the inflation in the country. So -- then the Spanish hoteliers had to learn that they cannot raise the prices by 10%. So they have full transparency.  But to deliver what we promised, to be a really reliable partner and to help and to make sure that with our brands, with our partnership, they get up to 10% higher load factor, which means that they may lose EUR5 per room night with us. But having the guests, the TUI guests, which is normally a very quality wise, the guests who buys by far more than other guests compensated. And I think we have now together educated ourselves that this benefit can be shown. That's why I'm pretty optimistic that we can limit the inflation to cost inflation and not to demand inflation. On the TUI Blue, I mean, when we say we want to build 200, sometimes would be more aggressive. It's a mixture of own hotels which we financed through the hotel fund where we have now a quite interesting pipeline hotels which we manage or franchise. If you look, if there are -- if the property is bought or built by the hotel fund, where we are having 10% share in it, these funds normally go to a return on 4% to 6%, sometimes with, something without the terminal value, because for them the terminal value is a big thing for us. It was always difficult to say, maybe we had the terminal value when we saw the real hotels, but this is not something investors are so much interested in the terminal value.  If it comes to management, I mean if you look at the publications, the annual reports of our competitors, you will find numbers, 10% of the profit, 3% of the revenue goes to the management partner. I think this is a quite good normal standard. And maybe at sometimes, we get a royalty which is slightly higher, maybe sometimes -- the strong competition, we will get less and franchise is 1% to 2%.At the end, it's important that the hotelier, the investor and we are happy and that we get our incremental margin through selling it. And therefore things like app where we are real fend off or the web sales are so important, because we have to -- we should accommodate not only our own capacity, but the incremental capacity of these partners.
Friedrich Joussen: Okay. On the right side, he has been waiting long and very patient.
Cristian Nedelcu: Thank you very much. Cristian Nedelcu from UBS. Your second half EBIT in 2019 was around EUR1.2 billion. Can you tell us what average selling price you need for the summer to get there. You need 15%, 20% or can you give us a bit of color because it seems within reach, so? Secondly on working capital. Now it sounded that -- a few quarters ago, you showed us a chart in the presentation saying there is still EUR1.5 billion to EUR2 billion of cash inflows from working capital as demand normalizes. It seems that's pretty much done if I look at the movement in the last quarters. But I guess we have this average selling price, which is higher. So could you give us a feel, how do you see working capital cash inflows over Q3 and Q4 this year?  And the last one, you said earlier, you're thinking potentially soon to further reduce the KfW RCF. Can you give us a bit more granularity there? And do you believe you can read from your own current liquidity. So I don't know, could you give us a reference point what sort of liquidity -- minimum liquidity you would look for at September year-end? I'm trying to understand do you need to sell more assets or do you need to take any other actions in order to pay down or to reduce this KfW RCF? Thank you.
Friedrich Joussen: I mean, first of all, we have done a lot of restructuring of our balance sheet, and I think that was largely liquidity related. And now, we have an operation of business which is very good. And now we are looking more balance sheet, I mean, and there, it's more the question of how much equity -- if we needed equity, how much equity would be need and so on. But for the reduction of the facilities we have enough liquidity. Of course, we have EUR3.8 billion. That's a lot. Actually it's too much right now. It's good that it's too much.  Now on the working capital, one thing is very clear. I mean, if you have 20% higher prices, revenues go up 20%. If the revenues go up 20%, then the prepayments go up 20%, and the prepayments -- and total payments go up 20% that actually -- that is actually direct proportionate of the envelope, to the envelope of prepayments. I'm not sure if you want to talk about numbers. Actually I'm pretty sure, when I look at Sebastian, we don't want to talk about numbers.  So -- and the same is true for profitability. I mean, the same is true for profitability. I mean, we have on purpose not given the guidance because it will be a good year, I'm pretty sure but the uncertainties on the cost, particularly when you look at fuel and when you look dollar, but particularly fuel and dollar is not so much, but, I mean, so huge that the guidance would be, how do you say, more disturbing and distorting pictures. But one thing is clear, we have -- we will be -- we will -- revenue wise, I mean it's already mathematically not possible to, I would say, to understood pre-crisis levels. And we have now covered as -- when you heard, when I said we have covered with the prices all fuel increases, which we see right now. So, therefore, there is good potential. The profitability, particularly in Q4, would be very reasonable.
Sebastian Ebel: I mean, it's an extraordinary market situation because I can only remember one year when we had such a strong short-term buying with good margins. Normally, it's -- that the margin short-term are not as good as the early booking. And that's what is very different to years before or to centuries, not centuries, but for the last 20 years, I've been in the business. And second, the fuel price and the cost of it, so the range between a very good summer, the numbers you mentioned were right and a moderate summer is huge and therefore we said we need some more knowledge.  You were talking about -- asking about working capital and minimum liquidity. For the time being, we want to have more liquidity on hand as we normally had. I mean you could say, we are overcautious, maybe we are, but in today's time it's better to be overcautious than to be not so cautious. And maybe in a year or in two years, we are back to liquidity lines, which we had before, but we feel safer. On the other hand, to have these lines available, doesn't cost a lot. We are talking about 1%, 1.5%, so very different to the cost we would have, if we would draw. So it's a kind of insurance premium we pay at the moment. And we happily pay because it's worth doing it and therefore, we want to have more liquidity.  As you rightly said, on the working capital, there is also mathematically some good reason why this is not the end of what you might conclude to. But again, also the more short-term, it's also quite strange. The more short-term bookings you have, the more liquidity you get because you get a 100% and not the prepayments of 30%. So there are lot of things, which at the moment support something with -- where we have to make sure and we want to make sure that this is not something which then fades away again.
Friedrich Joussen: And I think one of the things, which has been discussed at least we do know the business with much less prepayments. I mean that is also something which with hotel prepayments, right. When you look at the hotel prepayments, we have actually taken out enormous amount of prepayments for the volume we generate right now, EUR500 million. And I didn't know that we were talking about this, but it is significant and the hoteliers have found also in the -- for the time being other means of financing. And therefore, we have all the volume in with less prepayment which is in terms of working capital...
Sebastian Ebel: On the critical days -- on the critical days when summer, when we have more liquidity, we can be more generous. So it's bringing intelligence into the system.
Friedrich Joussen: Yeah. For the liquidity low point.
Sebastian Ebel: It's important.
Friedrich Joussen: Okay. Yes, please.
Mark Irvine-Fortescue: Sorry, two hopefully quick ones, please. It's Mark Irvine-Fortescue from Stifel. One on market share, one on hedging. The Page 10 slide on web traffic was interesting, quite striking sort of share gap between you and your comps. Can you just confirm, is that just your Markets & Airlines business or is it the whole TUI Group because most of those comps don't have Cruises or Hotels?
Friedrich Joussen: Mark, it's Markets & Airlines business.
Mark Irvine-Fortescue: And you talked a bit about -- second question around hedging, you talked a lot about fuel price and the sensitivity to guidance. Can you just give us a couple of numbers you are hedging, please? How hedged are you? What's the blended average rate?
Sebastian Ebel: We have the policy that we hedge early and that we at least hedge what has been booked. This we couldn't follow, not because we were stupid, because we haven't had the hedging lines with the bank. That actually now has changed with good numbers we could provide, so that we can follow the policy in future. On the currency, which is more important than the fuel, we are well hedged two-thirds and where we are not hedged, for example, some of the Turkish lira, we did it by purpose because you could see the devaluation, and this is something which worked well. So the risk on the currency is not really there. Unfortunately, we are only able to hedge very late the fuel, so that we at the moment have hedged to 35% to 40% on the summer. And we have calculated today's fuel price into our -- in our calculation, and it seems to be that the customer is making this -- at least making this up. And if you also have to have in mind, we also didn't buy -- we were not able to buy options which other does, which are normally not part of the numbers they give, but these options are in cost. And today it doesn't make sense to buy options because for what reasons, say, about the premium was EUR150 million. I mean, in the past it was EUR120 million, EUR130 million, but couple of years it's EUR150 million. So we are -- we now close the gap every week. But unfortunately, on a level which is not the same, I mean, it's a difference between 10% to 50% per metric ton to 1,100 compared to maybe 750 to 800 luckily only on the portion and luckily we could put that onto the prices. And interestingly, if you look the forwards of a fuel is significant lower. So that's why we hedge more the autumn months because that saves $100, $150. 
Friedrich Joussen: I mean that's also an indication of what the market assume the fuel price will develop to, right. I mean, therefore, I think first of all, I think it will be moderate, and secondly, I mean, let's see -- I mean this is a little bit of history. Now we can hedge again. So since quite some time, but there was times when we hedged, I mean, with our position. I mean there was -- I mean, normally would have given us hedging line just a couple of months ago.
Sebastian Ebel: I mean, as a CFO, this is one of the things you never like. And you know what you should do, but we couldn't, but luckily now with the hedge and then the fuel, the banks will hedge fuel by far less than the ones who hedge the foreign exchange. That's why it was so difficult, but we have overcome that now.
Friedrich Joussen: Yeah. So, now is the time where actually people from -- is it right, okay -- from the people from the web if there are people. No questions.
Operator: So, we currently have no questions via the telephone lines. [Operator Instructions] We currently have no questions from the telephone lines. So I'll hand back over to you, folks.
Friedrich Joussen: Okay. Thank you very much, operator. Thank you very much for all of you being here. We were happy to come despite the fact that our hotels actually cost a fortune, but it is -- I have to say it's good, when the hotels are priced high, our hotels are priced high and good -- and good prices are a good basis for profitability. So we are happy to pay. And we are happy to come here. And yeah, Sebastian, actually this is interesting. Sebastian said that when Nicola said, this is our price for the hotel, he said it's too expensive, you go back and negotiate, then she came back and the price has increased by GBP100.
Sebastian Ebel: In a day.
Friedrich Joussen: So that's in a day. So that said we were happy to be here. We are happy now that the business is actually kicking off. I see Christoph there, he was actually on site when we were actually and was it 16th of March or whatever, a 20 interesting times. It seems to be that the crisis is now coming to an end. The booking numbers look good. The results look increasingly good. And I think that we'll get there. And thank you very much for coming today and also for keeping the trust in our company.
Sebastian Ebel: And we are really grateful for that.
Friedrich Joussen: Okay. Thanks. Thanks a lot.